Operator: Ladies and gentlemen, thank you for holding. And welcome to the Wesfarmers 2022 Full Year Results Briefing. Your lines will be muted during the briefing. However, you'll have an opportunity to ask questions immediately afterwards, and instructions will be provided on how to do this at that time. The call is also being webcast live on the Wesfarmers website and can be accessed from the homepage of wesfarmers.com.au. I would now like to hand the conference over to the Managing Director of Wesfarmers Limited, Mr. Rob Scott.
Rob Scott : Thanks very much. Good afternoon, and good morning to others to our 2022 full year results briefing. I'm joined here in Perth today with our divisional managing directors and our CFO, Anthony Gianotti. We've taken on board your feedback and you'll notice the slight change to the format this result. We've included the usual divisional summaries in the appendices of the slide pack, but we won't step through each in detail on the call. Hopefully, this will give us more time to focus in on questions. To begin, I'll provide an overview of the group's performance, then Anthony will provide some more detail on the financial results. I'll conclude with some comments on the market -- on current market conditions and outlook, and then the divisional MDs, Anthony and I would be welcome to take your questions. So we'll kick off on Slide 4. This year was the most disruptive period we've experienced through the pandemic with extended government-mandated lockdowns in the first half, but it was also a great opportunity to demonstrate our commitment to our core objective to deliver a satisfactory return to shareholders over the long-term.  We recognize that we can only achieve this if we continue to anticipate the needs of our customers, look after our team members, treat suppliers fairly and ethically, contribute positively to the communities in which we operate, take care of the environment and act with integrity and honesty. The last year has provided many opportunities to demonstrate our commitment in these areas. Turning to Slide 5, which sets out some of the highlights for the year. At a high level, there are three key takeaways from this year's results, which I'll talk through in the next few slides. Firstly, it's really pleasing to report a solid set of financial results, which were supported by strong growth in the second half following the significant impact of trading restrictions in the first half.  Secondly, we continue to renew the portfolio and invest in our existing businesses, creating new platforms for value creation. And finally, we've reinforced our focus on continuous improvement, and this is translating to greater efficiency and productivity across our businesses. For these reasons, we are heading into 2023 financial year better positioned for the future than we were a year ago. On that point, I'd also like to take the opportunity to recognize the remarkable contribution of team members across the entire group. I know I speak on behalf of all the divisional managing directors in thanking our teams for the exceptional way in which they responded to the needs of our customers and continue to progress the strategic agendas of our businesses whilst navigating a very complex operating environment. Now turning to Slide 6. Total revenue for the group increased 8.5% to $36.8 billion for the year. Now this includes three months revenue from the Health division. And excluding Health, revenue increased 4.9%. The group's net profit after tax was $2.35 billion, which is a decline of 2.9%. Reflecting the solid NPAT result in the group's dividend policy, the directors have determined to pay a final dividend of $1 per share, an increase on last year, bringing the total full year dividend to $1.80. Our results this year clearly reflects what was a tale of two halves. In the first half, our results were significantly impacted by COVID when over 34,000 store trading days were impacted by temporary closures or trading restrictions. And during this period, we saw profit decline 14%. You'll recall during that time, we continued to pay our team, our rents and adjusted our operations to meet the rapid shift to online.  Now while there were no lockdowns in the second half, elevated Omicron cases in January and February continued to create disruption in domestic and global supply chains and impacted visitation to stores. Trading momentum accelerated in the second half, and our businesses performed well, supporting 13% NPAT growth for the half. It's also pleasing that despite the disruptions, we were able to distribute over $4 billion to shareholders and invest over $2 billion across our businesses. Turning to Slide 7. There is understandably a lot of focus on the short-term outlook at present. And whilst our businesses are well prepared for a range of outcomes, we are focused on ensuring Wesfarmers will continue to deliver strong returns to shareholders next year, the year after next and beyond. In recent years, we have invested to take advantage of opportunities arising from the digitization and decarbonization of the economy. We've continued to strengthen our data analytics capabilities at a divisional level and through our shared data platform, OneData.  We continue to develop our omnichannel offer, optimizing and expanding store networks and developing deeper digital engagement with customers. We've made investments to modernize and digitize our supply chain and fulfillment capabilities, and we're progressing capacity expansion and clean energy opportunities within WesCEF. And some of the highlights to call out for the year. We've made great progress with the development of our Mt Holland lithium project. We've completed the acquisition of API, the Foundation business for our new Health division. We've established OneDigital as part of our development of a market-leading data and digital ecosystem. And we've expanded Bunnings commercial offering, completing the acquisition of Beaumont Tiles and rolling out new Toolkit Depot stores. Turning to Slide 8, divisional highlights. At a divisional level, our businesses also did not slow down, making good progress on their strategic agendas and in most cases, delivering pleasing results for the year. I'll use this slide to touch on some of the key points and Anthony will give more detail in the financial results shortly. Bunnings performance this year again highlighted the strength and resilience of its operating model. Bunnings has delivered remarkable growth over the last three years, through which sales have increased 35% or $4.6 billion with earnings growth of more than 40%. Earnings growth outpacing that of sales is particularly pleasing in the context of COVID-related disruptions and COVID costs in 2022 as well as the continued investment being made to strengthen Bunnings customer offer. This included the ongoing expansion of data and digital capabilities which are driving greater personalization and digitization across both DIY and commercial customers. For Kmart and Target, the second half result demonstrates the strength of the customer offer and the continued benefits from the conversion of some Target stores into Kmart or K Hub stores in recent years. Kmart maintained it's focused on lowest price leadership with ongoing digitization initiatives in stores and through the supply chain. Kmart also continued to leverage its product development capabilities to bring new products to market and to enter new categories in-store and online.  Both Kmart and Target joined OnePass during the year, which strengthens the value and convenience of their offers, and this has been well received by customers. We were pleased with the growth in the Marketplace side of the Catch business, but performance in the first -- in first-party products was below our expectations, and clearance activity impacted margins. Catch continues to invest in marketing, technology and supply chain capabilities to support its long-term scale aspirations and the Fulfilled By Catch proposition that is now supporting Kmart. This involved the opening of a new and highly automated fulfillment center during the year and is an important milestone for Catch. WesCEF delivered record earnings for the year with the businesses all contributing to their strong performances during a favorable -- during the favorable market conditions. We see WesCEF as an important driver of long-term growth, and the team continued to progress capacity expansion opportunities this year. Good progress also continued on the development of the Mt Holland lithium project with the Village and Aerodrome completed and pre-strip mining in the construction of the concentrator and refinery advancing. The WesCEF lithium team is progressing discussions with key customers, which continue to be supported by very strong market fundamentals. Building on its long-running work -- long-standing work to decarbonize its operations, WesCEF released its net zero road map for the year, which includes a 2050 net zero commitment as well as intermediate carbon reduction targets. Officeworks has continued to support customers working and learning from home and is well positioned to serve this expanded segment of the market. But overall, it was negatively impacted by COVID restrictions and disruptions through the year. Officeworks completed the transition to its new customer fulfillment center in Victoria, which further strengthens its omnichannel capabilities and drives increased efficiencies. Industrial and Safety again improved its performance this year benefiting from disciplined focus on meeting customer needs and improving productivity and efficiency. The new Health division has made good progress on integration activities, and work has commenced on strategies to improve its financial performance and strengthen the competitive position of API and its pharmacist partners. The new Marsden Park distribution center, which is highly automated and benefits from the latest pick-and-pack technology, commenced operations in the last half and is on track to operate at full capacity by the end of this calendar year.  And OneDigital launched the OnePass membership program during the year and continued to develop the shared data asset, which will provide the retail divisions with a single view of the customer and unlocks additional operating efficiencies across the group. Moving to Slide 9. During the year, we continued to deliver better outcomes for the environment, our team and the communities in which we operate. Recognizing its link to long-term value creation, we continue to build climate resilience in our businesses. Our divisions achieved a 6.4% reduction in Scope 1 and 2 emissions, including our new Health division, making good progress towards their net zero targets. During the year, we saw firsthand the impact of COVID on our team and the community. We were proud to provide nearly $50 million in COVID-related support to our team, while also supporting the delivery of over 140,000 vaccinations at Bunnings sites in collaboration with government. Our commitment to the development and skills of our team is evident with over 2.5 million hours invested in training and development in the past year. We were also pleased to regain indigenous employment parity a year ahead of our plans. And we continue to strive for gender balance across all of our teams with 48% female representation across our board and leadership team. Turning to Slide 10. You can see the summarized performance of the group. I'll now hand over to Anthony that will talk in more detail on the financials.
Anthony Gianotti : Thanks, Rob, and hello, everyone. I'll start on Slide 12 with a brief overview of sales performance before covering off on earnings results for each division on the following slide. Overall, we were really pleased with the sales results for the year given the impact of lockdowns in the first half and the pressures from Omicron early in the second half. And as you can see, the business has ended the year with strong trading momentum and performance, having improved significantly through the third and fourth quarters. For Bunnings, sales growth of 5.2% for the 2022 reflected continued strong commercial growth and solid DIY activity. Growth accelerated during the year with 9.2% second half sales growth following growth of 1.7% reported in the first half. Kmart and Target were undoubtedly the Wesfarmers businesses that were the most significantly impacted by the lockdowns, which is reflected in their full year sales results.  As stores were able to reopen, results improved significantly, and Kmart and Target delivered combined sales growth of 3.8% in the second half. This was supported by growth across all categories as well as the continued benefits from the successful store closure and conversion program. Catch reported GTV growth of 1.6% for the year, with particularly strong demand in periods of lockdown. Officeworks sales results and product mix were impacted by COVID during the year, both as a result of trading restrictions in the first half and through disruptions to the back-to-school period when Omicron cases were rising. Sales growth remains strong in technology and furniture categories as customers continue to work and learn from home. But lower traffic to stores as a result of COVID impacted higher-margin categories such as office supplies and print and create. For WesCEF, revenue growth of 42% reflected higher commodity prices as well as strong operating performance and plant availability. Revenue growth of 3.8% in Industrial and Safety was driven by continued growth from strategic customers in Blackwoods and higher demand across health care and industrial customers in Coregas. Looking now at earnings across the divisions on Slide 13. You'll note that we have provided additional emphasis on the second half performance to reflect the significant change in operating conditions between the periods. Bunnings earnings were up almost 1% to $2.2 billion for the year, supported by ongoing strong execution of its strategic agenda.  As Rob mentioned earlier, Bunnings earnings growth over the last three years has been very strong. And the 2022 result comes despite over $70 million in COVID-related costs, the impact of supply chain disruptions as well as further investment to support long-term growth. Full year earnings for Kmart Group show the significant impact of lockdowns and about a quarter of trading days for Kmart and Target in the first half either restricted or completely lost to government-mandated closures. During this time, Kmart Group incurred additional costs as it continued to pay team members and rapidly scaled online operations to meet the temporary spikes in demand when customers were unable to visit stores.  As restrictions lifted, Kmart Group delivered strong earnings growth of 16.5% in the second half or 19.4% if you exclude Catch. For Catch, the earnings loss reflected the investments to support a more scalable operation as well as higher levels of clearance activity on first-party products. Officeworks earnings were lower than the prior year, impacted by the change in sales mix that I noted earlier as well as investment in data and digital capabilities, the launch of new products and services and higher fulfillment costs associated with COVID disruptions and temporary inefficiencies during the transition to the new Victorian fulfillment center. WesCEF delivered record earnings of $540 million for the year with strong results across all segments. Chemicals earnings benefited from a favorable ammonia price and continued strong demand from mining customers with these partially offset by the impact of the planned ammonia shutdown in the first half. Clean Heat's earnings increased significantly off the back of the higher Saudi contract price and the continued shift in sales mix to domestic LPG customers following the closure of BP's Kwinana refinery in February.  Earnings from fertilizers increased due to stronger pricing as well as benefits from recent investments into dispatch capacity and improved services for growers. Industrial and Safety delivered yet another pleasing improvement in performance with growth across all businesses, including the realization of operating efficiencies and simplification benefits within Workwear Group during the year. In the new Health division, we've made great progress on the integration and transformation agenda. The reported result includes $36 million of one-off and noncash costs relating to impairments within the Priceline store network, closure costs for the manufacturing operations in New Zealand and acquisition accounting amortization expenses. Excluding these, underlying earnings for the three months of ownership were $11 million. In line with the guidance we gave in June, the operating loss to support our ongoing investment in OneDigital was $80 million for the year. This reflected the development and expansion of the OnePass membership program which has now been extended to customers in Kmart and Target as well as ongoing investment in the group's shared data platform OneData.  As we noted in June, we expect an operating loss of approximately $100 million for OneDigital in FY '23 as we continue to expand the OnePass program across all of our retail businesses and improved member benefits. Catch has now joined OneDigital, and as a result of further investment, is expected to generate a loss in FY '23. Turning now to Slide 14 on other business performance. Our other businesses and corporate overheads reported total earnings of $6 million, which was in line with the prior year. This result includes expenses associated with OneDigital. Profit from associates reflected a significant increase in contribution from property revaluations in the BWP Trust as well as higher earnings from the group's interest in Wespine and Gresham during the year. Other corporate earnings of $64 million included a favorable group insurance result, dividends received from Coles and API, and the receipt of an equity distribution under the value share mechanism that we agreed in 2018 on the sale of Homebase.  Group overheads increased by $12 million during the year, reflecting higher external insurance and team member costs. Turning to divisional cash flow and working capital on Slide 15. Divisional operating cash flows were $4.1 billion for the year, 14.2% lower than the prior year, resulting in divisional cash generation of 78%. While divisional cash flow result was impacted by slightly lower earnings from divisions, the movement was largely driven by higher net working capital positions in the retail businesses due to both the normalization of inventory positions following the temporarily low balances in the 2020 and 2021 financial years as well as the timing of supplier payments at the end of the current financial year.  Significantly higher utilization of employee leave provisions as travel restrictions eased also impacted divisional cash generation. Recognizing the significant movement in net working capital through the year, we've actually provided some further information and breakdown by division on the slide. I want to step through some of the specific drivers from an inventory perspective. Starting with the group's inventory position at the end of the year of $6.1 billion, it's worth noting that this balance includes around $450 million of stock acquired as part of the API and Beaumont Tiles transactions. Within the $1.2 billion of inventory cash outflow shown on the slide, there are really 4 key factors impacting this movement. Firstly, the ongoing normalization of stock levels, particularly in Bunnings, which as we've mentioned over the last few results, have seen abnormally low stock weights due to the rapid growth in sales over this period. This is illustrated in the graph on the lower right of the slide.  Secondly, we have seen average unit cost inflation of between 5% and 10% across the retailers which includes the impact of input costs as well as higher shipping and demurrage costs. Third, we continue to hold deeper stock weights of everyday products in Kmart to manage ongoing supply chain variability. It's worth noting, however, that Kmart's inventory position declined through the second half as domestic supply chain constraints eased.  And finally, the impact from higher commodity prices on the inventory position at WesCEF, most notably in its fertilizer business. Overall, we believe inventory positions are appropriate for current conditions, and we are well placed for the lead up to the Christmas period. With retail networking, capital and inventory positions relative to sales returning to pre-COVID levels and team member leave patterns normalizing, we'd expect cash generation to revert back to the long-term average of around 100%. Moving to group cash flow on Slide 16. Group operating cash flows of $2.3 billion for the year were $1.1 billion or 32% below 2021, and cash realization was 59%. The key movements are set out in the chart on the right of the slide and include the lower divisional earnings and higher working capital that I just talked to on the previous slide. As well as that, there is $300 million in higher tax payments as a result of higher tax installments made during the year and some additional noncash earnings mostly from property revaluations. From a net debt perspective, the increase to $4.3 billion reflects the decision to return $2.3 billion by the capital return to shareholders at the end of the last half as well as higher net CapEx and increased acquisition activity. The group's net CapEx was $884 million for the year, an increase of about 40% on the prior period. The increase was largely driven by $304 million of project CapEx and $34 million of capitalized interest in relation to the Mt Holland lithium project as well as an increased spend on data and digital CapEx.  Bunnings property sales for the year of $258 million were in line with the prior year. A more detailed breakdown of divisional CapEx has been included in the appendix to the presentation. Acquisitions and divestments during the year of $1.1 billion includes the cash consideration for API, along with its acquired net debt as well as the Beaumont Tiles acquisition. This was partially offset by around $0.5 billion in proceeds from the sale of Coles shares during the year. Turning to balance sheet and debt management on Slide 17. Wesfarmers has continued to take opportunities to reposition the balance sheet during the year, which has allowed us to lower our cost of funds from 4.7% in 2021 to 3.1% in 2022, and improve the maturity profile of our debt and extend the weighted average term from 3.5 years out to five years. The group recorded an 18.6% reduction in other finance costs as a result of the lower average cost of borrowings and higher capitalized interest associated with the Mt Holland development. Our strong investment-grade credit ratings from Standard & Poor's and Moody's were maintained during the year, and the group retains considerable headroom within its key credit metrics. And finally, turning to Slide 18 on dividends. As Rob mentioned, the board has determined to pay a fully franked final dividend of $1 per share, bringing total dividends for the year to $1.80 per share. This is consistent with our dividend policy, which takes into account available franking credits, our balance sheet position, credit metrics and cash flow generation. I'll now hand back to Rob.
Rob Scott : Thanks, Anthony. So turning to Slide 20. Retail trading conditions have remained robust through the first seven weeks of this financial year. Sales growth has been particularly strong in Kmart Group with sales significantly higher on both a one-year and a two-year basis. Bunnings also continues to see positive sales growth on a one-year and two-year basis, while sales in Officeworks were in line with the prior year. In relation to the positioning of our businesses, there are three points that give me confidence that we are well placed to respond to any changes in the economic environment that may arise. Firstly, Wesfarmers businesses largely provide essential and everyday products to both retail and commercial customers. This skew towards essential products provides a level of resilience for our businesses.  Secondly, our retail businesses are well known for their strong value credentials and everyday low prices, especially Kmart where our average price points are materially below what you would ordinarily find in traditional department stores. As inflation and cost of living pressures increase, we expect value to become increasingly important as households look to balance their budgets, and we believe our businesses are well placed in this environment. Finally, we're starting from a strong base. We've been investing in our teams and our businesses throughout the pandemic and are well positioned with our inventories, cost structure and offer to customers. We have maintained our commitment to low retail prices throughout the pandemic rather than taking margin at the expense of customers, and the trust that we have built will serve us well going forward. And the quality and reliability of our operations in WesCEF support it to maximize the opportunity associated with the favorable global commodity prices. Now finally, on the outlook on Slide 21. The Australian economy is starting from a strong base with low unemployment and high levels of household savings, but the effects of inflation and higher living costs are placing pressures on parts of the economy, including household budgets. Wesfarmers continues to actively manage the impact of inflation and is leveraging its scale and sourcing capabilities to mitigate the impact of cost increases.  And while inflation remains elevated, in recent months, we have seen prices for some inputs such as cotton, timber and plastic resins start to moderate. At a group level, our strong and flexible balance sheet, together with our focus on financial discipline, provides us with the capacity to take advantage of value-accretive opportunities that may arise. In summary, the actions that we've taken over recent years, together with our strong balance sheet and portfolio of high-quality businesses, make Wesfarmers well positioned to deliver satisfactory return to shareholders over the long term. That's the end of our presentation, and we'd now be happy to take your questions.
Operator: Thank you. We will now begin the question-and-answer session [Operator Instructions]. Your first question comes from Tom Kierath from Barrenjoey. Please go ahead.
Tom Kierath : Hi, guys. Just a couple of questions or one question, rather, on Bunnings. Just in the second half, the sales growth was obviously quite strong. Can you maybe just split that by volume versus price? And maybe just elaborating on when prices went up, did you see gross margin come down? Was there some investment in that? Obviously noticed the margins fell a bit in the second half. Thanks.
Ian Hansen : Yeah. Thanks, Tom. A couple of things. Certainly saw transaction growth in both consumer and commercial in the second half was obviously a bit disrupted in the first half with the lockdowns that both Rob and Anthony touched on. So that was really pleasing, and we've been working really closely with suppliers to make sure that when we do need to move on price, we're doing it in the most efficient way possible and really challenging ourselves.  So we don't, as you know, call out anything around our gross margins, but we're really pleased with where we sort of ended up. And it is a dynamic environment, right? There's different levels of inflation across different categories. And it is really quite diverse across the sort of Bunnings category group. So there's no one sort of homogenous sort of inflation number that we've got to work around. So that's why we've got such detailed level work that sort of category-by-category level.
Operator: Thank you. Your next question comes from Michael Simotas from Jefferies. Please go ahead.
Michael Simotas : Hello. I just wanted to talk about inventory a little bit more, if we could. I think you've given a good explanation for the move. But going forward, just interested how the management team's planning for inventory. It sounds like generally managing the business to similar industry inventory cover to what you had prior to COVID, maybe with a little bit more cover in Kmart. Just wanted you to clarify that. And then also, what sort of demand levels are you assuming? And if demand falls short, how quickly can you adjust?
Rob Scott : Well, Michael, Mike -- Mike and then Sarah to cover that from an inventory point of view. Michael, here.
Ian Bailey : Michael, Ian Bailey here from Kmart Group. Yeah. So the -- we're managing inventory on a consistent basis to where we've been for the last year or so, which is we're carrying an extra week's cover versus history, which pretty much take us through market levels of inventory. But we've always had very fast inventory returns relative to other players, and we've come back probably more to an average level. That just gives us the flexibility with international supply chain, if there's any disruptions. We're seeing increasing consistency through international supply chain now, and we're getting more confident. And so we expect in the second half to start unwinding that extra week's cover on the basis that we continue to see that improvement as we go through this half. When you look at the quality of our inventory, more than 80% is 3, 6, 5. So that's inventory that doesn't change. So if there is any change in consumer demand, all we need to do is slow down future orders and that inventory will come back into line as time passes without the need for any clearance.
Michael Schneider : I'll pick up from there, Michael. It's Mike from Bunnings. Similar on the sort of last point and quite a lot of our product is 365. So if there was a change in demand, our ability to sort of carry that product through longer cycles is really good, and we've had that experience in the past, but we've also been a little bit conservative heading into this spring and some lease is the first time in three years. For example, in Victoria, we can trade our stores through Spring and Father's Day and really important events like that for us. So we made sure we brought some inventory in a little bit earlier, and similar with our festive product as well to make sure that we had strong availability for customers. And while we were pleased with what the team was able to do through the last couple of years in terms of availability for customers, it still is sort of in that 80% to 85% range. So we do have more work through to make sure we've got good availability. And this time last year, if you walked one of our stores, our Timbers were virtually empty and no product and it's great to see this year that we're sort of back into those sorts of things where demand is really strong from a construction sector point of view. Maybe over to Sarah.
Sarah Hunter : Yeah. Thanks, Mike, and thanks, Michael, for the question. Sarah from Officeworks. I think similar to Mike and Ian from our perspective, it does depend on the part of our business that we're talking about. So for example, in technology, we still see some shortages in areas. And certainly, we are living hand to mouth in a number of the tech hardware areas. So we'd love to see more stock if we could get our hands on it. However, in terms of things like stationary, education, art and the more traditional office supplies area, recognizing that this time last year and particularly -- well, this time last year, our stores were closed, significantly down the East Coast, we are expecting a normalization of inventory levels. So we've ordered in line with the growth that we expect to see that is coming from those areas, same as print and create. And then in terms of furniture, we are expecting a normalization of inventory levels over the course of these 12 months, recognizing that there was a real step-up in our furniture sales, acknowledging people were setting up their home offices. So I hope that gives you a flavor across the different businesses
Operator: Thank you. Your next question comes from David Errington from Bank of America. Please go ahead.
David Errington : Good morning, Anthony. I'm going to break convention a little bit. I'm going to ask a question on what I believe is one of the more exciting businesses at the moment, and that's WesCEF. So can I ask Ian a question? Ian, the yard has cut -- it was announced, they've cut their ammonia production because of problems in European gas. It looks like to me that the ammonia market is certainly -- if it's not structural, it's certainly longer term, it's going to remain fairly elevated at very high international prices. You've got a terrific business position here in Australia where you've got a really good gas right in longer term. But what I'm trying to do is I'm trying to understand a little bit more of your business because I believe it looks really exciting for the next two years. Now this year, you were impacted because of shutdown. Can I ask you a little bit about what that actually does? And that shutdown, how much does it help you going forward in terms of planned availability? Are there any more plant shutdowns likely? Can you give us a bit of an idea of these pricing lags that happened because it just seems to me. And also, I watching WesCEF a year ago, it looks like they're progressing that might make you a bit more opportunity to get more gas. I know there's a lot in that question, but I think that WesCEF doesn't get the exposure that it deserves in because I think you're running a brilliant business at the moment, and it looks like it's got some great opportunities in the next two or three years to really expand your earnings.
Ian Hansen : David, thank you for the compliments around WesCEF. I appreciate it. I'm sure my team also does trying. I'm to answer those questions, in terms of the shutdown, I think our shutdown in -- towards the end of calendar year '21, so first half FY '22, we were down for about six weeks, and it was part of our five yearly shutdown rotation for the ammonia plant. So if you think back, we've had that ammonia plant now for 22 years. We started doing annual major shutdowns, move those out to every two years and have progressively increased the time between shutdowns to now about five years, which is pretty much the limit that we can do for regulatory reasons. So we had the shutdown for six weeks, which meant that we've lost six weeks production which was planned, somewhat unfortunate that the ammonia prices were so high at the time. But of course, we weren't to know that when we were planning the timing of the shutdowns. Going forward, we would hope the ammonia plant stays online for the next 4.5 years. That's unlikely. It's likely to fall over for one reason or other. But generally, when it does trip, it's only for a day or two, and then we'll get it back up. We don't see any long shutdowns going forward. So hopefully, 4.5 years of good ammonia production. I might say, David that all the work the team has been doing in the ammonia plant means that we're getting more tonnes out of the ammonia plant today than we ever have before. So really pleased with the business improvement that we undertake in the ammonia plant. In terms of the pricing lags, most of the ammonia that we manufacture and purchase, and for those not aware, we purchased about 50% of the ammonia that we either use or on sell, so 50% of our demand. Most of the ammonia is on a pass-through, international price pass-through contractual arrangement either through the direct sales of ammonia or through the sales of products with ammonia in them. We have a small proportion, which isn't passed through, and that generally is related to gas-backed pass-through. So if there's a change in gas price, then we pass that through. The pricing lags on all those pass-through contracts are pretty much a three-month lag. In fact, we're a four-month lag because we use the three-month average for the 3 months prior to the month that we then change the price after. So if you take an example of a January to March average international pricing, we would then change that pricing in May for the following -- for the customers May, June, July going forward. So there's a one-month gap in a three-month lag, if that makes sense. And then finally, on West Erregulla, as you -- or the strike gas situation, yes, West Erregulla is looking more and more positive, but I'll leave it to strike to make those announcements. Whether there's any additional gas available, time will tell.
Operator: Thank you. Your next question comes from Shaun Cousins from UBS. Please go ahead.
Shaun Cousins : Thanks. Good afternoon. Good morning. Can you maybe talk a bit about the Health division, please? I'm just curious, there's a lot of moving parts here, but just around the EBIT outlook. If we annualize the $11 million for the quarter ended June, that implies $44 million. Assuming each quarter is equal, this compares to API talking about a $70 million sort of EBIT and recognize there's an interest number in there. But can you talk a little bit about any of the Marsden Park savings that are coming through yet?  I think it's $8 million annualized, there's Pfizer as well, and maybe more generally, just what are the differences in treatment of costs between API and Wesfarmers and whether or not we should be thinking that your earnings for the next 12 months should be around that $44 million plus some growth there just in that -- it's quite a big difference, and it has some implications for the -- how judicious the acquisition is, particularly given it's over $1 billion on a slightly -- quite a different earnings profile now, please?
Rob Scott : Shaun, Rob here. What I might make a few opening remarks and then hand over to Emily to talk more about trading, how you should think about earnings and Marsden Park performance and so forth. But -- so we've owned API for four months. The focus has very much been on engaging the team on a transformation plan.  As we were very clear about when we bought the business, this is a business that has been underinvested in. It requires some investment. There are many opportunities to improve performance. Our investment horizon is very much to drive that improvement over the next few years. So this -- we are very much in the early stage of formulating that transformation plan.  So this year, I would -- my advice would be don't judge the success of this acquisition on what the earnings number is in FY '23. Judge the success of what we achieve in the next year by -- how we're coming out at the end of this financial year. And you're right that there are a few -- it is pretty noisy in terms of the results with acquisition accounting and so forth. So -- but I'll hand over to Emily to talk to the business. And Anthony can give more context on the acquisition accounting, if you'd like.
Emily Amos : Thanks, Rob. Thanks, Shaun. Look, overall, we are excited by what we've seen. It is in line with the expectations coming into the business, and we do think we're well positioned for growth. There is a lot of focus at the moment on integration and accelerating sort of business transformation. It was a noisy result, as Rob said, with a lot of one-offs.  In terms of Marsden Park, we're on track to meet the cost savings that API had previously announced. And we're really just, at the moment, thinking about the kind of investments that we're going to need to transform the business.
Anthony Gianotti : And Shaun, it's Anthony, maybe just to add in terms of just for your, I guess, numbers. In terms of the PPA adjustments that will be made next year, we've got identified intangible amortization, but we expect it to be about $13 million in FY '23, and that will taper down over the subsequent years.
Shaun Cousins : And just to be clear, that $11 million, however, pardon me, that $11 million, will we sort of think about annualizing that to a degree there. And then we take off the acquisition as well, the acquisition amortization. That's how we should be considering that, please?
Anthony Gianotti : Well, yes, I guess. The $11 million doesn't include any of the identified intangible amortization, if that's what you're asking. So yes.
Shaun Cousins : Thank you. 
Operator: Thank you. Your next question comes from Bryan Raymond from JPMorgan. Please go ahead.
Bryan Raymond : Thank you. My question is around Kmart. Strong performance you saw there in light of pretty high cost growth through the COGS line in particular. Just the comment in the presentation around that you're able to essentially take some of those price rises on and with your entering supply chain really not have to increase pricing too much for the customers.  I'm just interested in -- to what degree you're absorbing prices versus how much you're able to offset them? And also what sort of inflation you're seeing and really just understand that gross margin line, even I'm sure you won't quantify exactly on gross margin, I'm keen to understand the moving parts there would be better.
Ian Bailey : Yeah. Thanks, Bryan. I think the first thing to point out, of course, is that our retail prices are so low that any increases we put through are always going to be modest. So I think that's the first piece. We've been very successful as we've seen raw material costs increase that we're being able to manage margins effectively, and you can see that's obviously played out in the second half result this year. The way that we do that is we have complete line of sight all the way through to what's going on, on the raw material prices. We then work with our suppliers in the way that we design and produce our products so that if there is a particular product type or a material that's going up in price faster than others, then we'll look to see how we can modify the construction of the product so that we can mitigate the cost increase. So what we do have is we have a complete line of sight through our supply chain to costs, which then means we can be more reactive than most in making adjustments. Most of our competitors would work through intermediaries where that's much harder to realize.  And then we look at mix, and we make sure we work our mix very carefully. And of course, in the market that we see today, we're working hard to make sure our mix is really, really tuned to value in anticipation that customers will continue to seek out value in the weeks and months ahead. So therefore, we can play across the price points that we play in so that we can manage that overall margin outcome.
Bryan Raymond : Great. Could you help us understand what inflation would look like in the business at the moment in the second half? Obviously, sales growth is quite strong. Is inflation a meaningful part of that growth?
Ian Bailey : There's -- the ASP movement in the half was negligible on average, but that's because of mix changes that goes on. So of course, we're seeing inflation in some of the products because of take cotton, there's been a significant increase in cotton price over time. Starting to come back now, as Rob called out earlier on. So we wear that within the cost of products. Occasionally, we will make a minor adjustment to the retail prices. But that's as simple as maybe $4.50 becomes $4.75. So we're talking like incredibly small variations in pricing that can help us manage those cost changes when they occur.  But I think Anthony called out 5% to 10%, and that was what we would generally see across a range of products.
Bryan Raymond : Great, thanks. 
Operator: Thank you. Your next question comes from Adrian Lemme from Citi. Please go ahead.
Adrian Lemme : Hi, thanks. Just a question on absenteeism. So the supermarkets have talked about how absences and lack of drivers are turning the operating rhythm, so to speak. Can you discuss what cost impacts you're seeing across the businesses and whether we should expect these to come down in FY '23?
Rob Scott : Yeah, Adrian, Rob here. Yeah, look, we're seeing similar trends. Obviously, the exposure of absenteeism is more acute in some areas where you have a very high reliance on the individual role. But I might -- might just get maybe Mike and Ian just to provide a bit of color. You're right, it is a cost impost on the business for -- it has been and it will be for a while.
Michael Schneider : Adrian, we certainly saw the worst of it at the start of the second half. We were seeing absenteeism in the double digits in the sort of July, February period. That has moderated. It still sitting higher than our long-term averages for sure. And I think it's a bit unsurprising in middle of winter, and you've got the sort of seven days of home for COVID, but cold and flu bugs around as well.  I'd anticipate as we head into summer, that's going to moderate back to normal levels. And hopefully as we sort of get well and truly into summer, government will actually have a reflect on the sort of stay-at-home periods and maybe follow some of the trends that we've seen in other parts of the world when summer comes. I don't know, Ian, if you go to add to that.
Ian Bailey : Probably. I mean an impact a bit lower than we would see in Bunnings as we have a higher casual base of employment. So therefore, obviously, an absenteeism occasional plays out differently. But there is some embedded cost, but it's increasingly moderating as time passes.
Adrian Lemme : Great. And so yeah, because I know the direct costs in Bunnings, for example, were $70 million from COVID. But I mean it sounds like there should be some benefit from this also, although albeit it's harder to quantify.
Michael Schneider : Yeah. Look, the $70 million, $71 million was made up of a couple of different things, including absenteeism. But yeah, look, you'd anticipate that wouldn't be as high going into the next year.
Adrian Lemme : Thank you. 
Operator: Thank you. Your next question comes from Craig Woolford from MST Marquee. Please go ahead.
Craig Woolford : Good morning, Rob and afternoon those on the east coast. Just wanted to ask a question about the Bunnings, I guess, I suppose, it's the EBITDA margin, particularly for the second half. To look at, I guess, one of the measures you guys have looked at the second half '22 sales are up 36%, but second half cost, on a consistent accounting basis, look to be up about 36% as well.  Unfortunately, we don't get enough disclosure to really understand whether that's product cost or the cost of operating the business. But can you give some clarity about of that 36% cost growth, what is transitory in nature within that mix and what is likely to be ongoing?
Michael Schneider : Thanks for that, Craig. I might start maybe -- or do you want to say something anything first? Look, for us, there is a bit in there. We talked about the $71 million in extra costs. Roughly half of that was in the second half. So that's clearly some. There's a little bit of cost in supply chain as well. And clearly, we're making some investments for the longer term as well because that's the thing that ultimately we're really focused on is long-term growth and long-term returns for the business.
Anthony Gianotti : Yeah. I think probably anything to add on there is there's probably a little bit of a mix change through that period because as Mike's pointed out earlier, commercial has grown stronger through that period, particularly in the second half. And as we know, commercial is slightly lower margin than consumer. And I think the only other thing is there's been some investment through that period. So we've had TKD investments, and we've had Beaumont Tiles come on board. So I think there's a combination of things going on in there. As to the split in terms of there's obviously a level of investment that will continue, but there's a level of that, that will actually reverse over time as well.
Craig Woolford : Can I just get a clarification on that supply chain investment? Can you give some examples of what that might include?
Michael Schneider : Look, it is a little bit in around demurrage and things like that. So they are more one-off in nature. There's still a little bit of lumpiness in the supply chain, Craig, but some of that was just reflection of, as I said before, bringing a few things in a little bit earlier and getting those reports and contain yards and things like that.
Craig Woolford : Thank you.
Operator: Thank you. The next question comes from Ross Curran from Macquarie. Please go ahead.
Ross Curran : Thanks. Just a quick question around New Zealand. So Woolworths yesterday called out the expected EBIT deteriorate significantly or materially in the December half. Are you seeing those cost pressures coming through the New Zealand businesses?
Michael Schneider : I might start with some things about Bunnings New Zealand, really pleased with the performance over there. But we certainly saw inflation kick off a little bit earlier in New Zealand, and that was a bit of a -- that was helpful for us with the Australian business because it was a bit of a canary in the coal mine in terms of how we needed to think about things. But there's nothing in the way that we're sort of looking and seeing the business in the first half that is giving us any particular concern at all.
Ian Bailey : Yeah, Ross. Ian here from Kmart. The stores over in New Zealand, last year, we had quite a few lockdowns in the New Zealand market as well. So of course, we're cycling those which you saw all give us a significant benefit as we go through this half. In particular, underlying trade, we still see a strong and the cost impacts that we're seeing within New Zealand are in the realm of a quite manageable at this point.
Rob Scott : Ross, I might just get Tim Bult to comment on the Wiz businesses. They get to observed some of the supply chain challenges that New Zealand is facing -- where they're facing a lot more challenges as a nation than some other areas. But Tim, do you want to just comment on what?
Tim Bult : Thanks, Rob. I think the team in New Zealand continue to do a really great job in managing what is very much a supply challenged market. And we've adjusted to be able to deal with that. And so far, the team has done really well. Demand has remained pretty strong. So we haven't seen any big economic drop off in terms of demand. And cost management is really important, and we're certainly seeing cost pressure in certain products. But we've been able to work through that with our customers. And at this stage, the team is doing a great job of things managing through that and things going quite well.
Ross Curran : Great. Thank you. 
Operator: Thank you. Your next question comes from Richard Barwick from CLSA. Please go ahead.
Richard Barwick : Good morning, guys. I had a question for Mike on Bunnings. As you said, it's been a remarkable period of growth. Just be interested to hear your thoughts on how you can sort of work your way or cycle through this. Is there an inevitable slump in sales and earnings that we'll be seeing in FY '23? And I know, obviously, you're going to be restricted in what you can say. But perhaps if you can give some context around the shape of sales? So obviously, in the second half, you saw trade outperform the DIY. I just going back to one of your comments. I think you made it the Strategy Day, it wasn't this year, but perhaps last year, you talked about people don't paint their house twice. So I just love to hear your thoughts on how you think Bunnings will shape up over the next 12 months.
Michael Schneider : I'd hazard a guess Richard did over the last couple of years with nothing else, they painted the house three or four times. But -- but more seriously, look, we can see more clearly on the commercial side of the business because of the sort of pipelines of work. So that one is a little bit easier to sort of see and with available now in categories like timber insulation, board product. There's pent-up demand. And I think Anthony touched on that sort of mix in the second half. Some of that is a little bit of catch-up in the work that's outstanding. But talking to our builder customers, a strong pipeline is two and three years out. And the type of construction that we are focused on is the smaller builder, they're not managing some of these bigger projects where you're seeing some building companies get themselves into a bit of trouble.  So I think there's a lot of opportunity for us to pursue there. And the whole of build strategy that the team have sort of built in the way we're sort of thinking about that through the different segments of Bunnings and also TKD and Beaumont Tiles, I think gives us some great opportunity to really earn the right to be chosen by customers in that space. And on the consumer side, I think there has been a structural shift in the way that our customers think about their home. It's become a workplace, it's become a classroom, it's become somewhere that you're spending more periods of time. And when you're working from home two-three days a week, there is more wear and tear on the house.  You're seeing more things to do. And we also see that over the last few years, customers have actually really developed quite a new array of DIY skills. We've been able to bring new products and services and categories into the market to be able to meet those needs. So we sort of have a view that with people at home a little bit more, that is going to see that. And as I touched on earlier, we've got some parts of Australia and New Zealand, where, for the first time in quite a while, we've got the ability to actually trade our stores through a spring and summer cycle, hopefully, without interruptions. So I think that structural shift is there, and I don't -- I'm really focused on driving strong growth as we move through this financial year and beyond.
Richard Barwick : So you don't see it as inevitable that you'll that you need to go through a period of sort of negative growth after such a strong three-year period?
Michael Schneider : Our aim is always to outperform the market, and that's the focus of the team.
Richard Barwick : Yeah. Good thank you. 
Operator: Thank you. Your next question comes from Ben Gilbert from Jarden. Please go ahead.
Ben Gilbert : Good afternoon. Maybe this one's for you, Rob or Anthony. But the one digital cost of $100 million for next year, which you've obviously provided before. How do you think about a return and sort of judging success for this business over the next couple of years? And I suppose what I mean by that is $100 million is a lot of money, but in the context of, say, super retail spending about 25, it doesn't seem as big. And I'm just trying to understand if this investment is going to need to increase as you find more things to do? Or will there be sort of a commensurate revenue opportunity that sits above it around media, these sorts of things that will mean that, that loss can stay in check for the next couple of years or it can come down?
Rob Scott : Thanks, Ben. I'll try to answer that. So the $100 million odd of spend, look, a reasonable amount of that is very much around the development costs and setup costs, launch costs associated with building out the shared data asset, OneData, the OnePass subscription program. But then there's also an element of recurring cost. So over time -- and look, the timing will depend a bit on how fast we move, but we think that about $100 million is about the right estimate for FY '23.  Over time, we would expect that number to come down for the reasons that we've set it up. We've undertaken a lot of the technology work. So rather than building and setting up, we're iterating and improving. But there will always be some ongoing costs of team members, talent, tech and so forth, marketing. In terms of how we will realize the financial benefit, we are only doing this because we think it is going to generate a financial benefit. The financial benefit will be driven in different ways that will ultimately flow through to higher sales across all of our retail businesses. That higher sales will come through in a range of ways, better understanding our customers, more targeted marketing, higher frequency of transactions, improving the customer experience through better digital engagement. There's also a lot of other efficiency benefits that will flow through from the OneData asset. And I should note that the divisions are already very well progressed on using data in a value-adding way. So just at our recent Board meetings, we were getting various examples of the personalization work that's going on in marketing, the way that the Kmart team are using it for range optimization. So there's a whole range of ways in which we'll ultimately deliver value back to shareholders.
Ben Gilbert : How do you measure that, Robert? So if you finally get a big uplift from a promotion [Indiscernible] in Officeworks, if the Officeworks get payment to say, well, we did that I mean you have the digital how this was up. I'm just wondering how you really actually tangibly measure it the whole structure of the business?
Rob Scott : Yeah. Look, it's actually really -- yes. Sorry, Ben, it's really easy to measure, really easy to measure. And quite frankly, we don't really care where the value comes through. And in fact, I'd suggest most of the value in the short term will flow through to our divisions. And the great thing with this is that it's very easy to measure. And then over time, look, over time, I expect that there will be other ways in which we can monetize the phenomenal platform that we have built through OnePass.  And you can look around the world and around Australia at ways in which people can monetize those kind of platforms and other products and services that you can have a right to participate in. That, over time, is probably more likely to be attributed directly to OneDigital. Obviously, areas around advertising, marketing, not to forget the subscription fees that will be generated and other use cases. So it will be a combination. And the great thing with what we're doing is it's incredibly easy to measure the benefits that we're getting. And over time, as we move from the build phase to the operational phase, we'll have more capacity to manage the cost in a way that we're confident are delivering value. And if you step back and think about the size of our group and the number of customer transactions, digital interactions we have, it's a fairly modest investment in the scheme of things. And it's an operating cost that will decrease over time as the returns start to flow through.
Ben Gilbert : Thanks, that's all.
Operator: Thank you. Your next question comes from Lisa Deng from Goldman Sachs. Please go ahead. 
Lisa Deng : Hi. I'm still trying to understand sort of the resilience in the business of Bunnings. Are we able to further break down the different categories, for example, DIY into what is repair and maintenance? What is everyday essentials as we define it? And commercial like building construct that might be tied a little bit more to the housing cycle?  Are we able to further break that down and give us a range of sort of mix in terms of percentage of sales? And then how should we think about variable costs versus fixed costs as well in the business because we don't disclose the GP margin? So I'm just trying to put a little bit of quantification around the resilience of the business. Thank you.
Michael Schneider : Yeah. Thanks for your question, Lisa. We talked quite openly about the sort of mix of commercial and consumer sort of being in that sort of 60-40 sort of split, 60% consumer, 40% commercial. And from a strategic point of view, our ambition over time is to have that closer to 50-50, not through slowing growth in consumer, but by accelerating growth in commercial. Beyond that, we tend not to sort of dive into the detail.  But what I can tell you, I've been in Bunnings for 17 years. So I've seen a few different cycles sort of come and go. We do see when lots of people are buying, selling houses, there's opportunities to participate in the consumer market as people prepare their homes for sale and then you settle into a new home and you personalize it to your space. But we also know that when housing churn is in there, customers are really keen to continue to invest in their homes.  And as I was saying before, we've had a couple of years where we've actually been educating our customers more than ever before on things to do around the home. So we do see that we have a very resilient business model. We do understand that there is a mix of discretion and necessity both in commercial and consumer. And that's not only in the product itself, it's in the way that our customers live their lives. So when you're in more challenging economic circumstances, people tend to not go out as much. They tend to not eat out as much, not go to entertainment venues as much. That leaves them at home. And obviously, when they're at home, we've got the opportunity to engage with them more for them to be doing things around the home. So that's what gives us the confidence that through the different cycles, we're able to deliver growth and deliver a compelling offer for our customers.
Lisa Deng : And the fixed versus variable cost component?
Michael Schneider : Inside the business? Yes, we've got a mix of both. And obviously, one of the more significant parts of the P&L is our budget for our team members in our stores. And over the various cycles, our teams have handled that incredibly well in terms of being able to flex up when there's growth, both rapid growth and sustained growth, as we've seen over the last few years, but also manage that down if the volumes aren't there as well.
Lisa Deng : Thank you. 
Operator: Thank you. Your next question comes from Grant Saligari from Credit Suisse. Please go ahead.
Grant Saligari : Yeah, good morning. Good afternoon. Could you maybe just help me with a logical bridge to profitability for Catch Group, lost $90 million? And you provided a little bit of color now on the performance of the first peak product. But over the next couple of years, what actually has to change in the business? And what are sort of the quantum of changes that need to occur to get that business to a reasonable level of profit, please?
Rob Scott : Yeah. Hi, Grant. Rob here. I might kick off and then Nicole can provide a bit more color. Nicole spent the last couple of months getting closer to the business. Obviously, we've got Brendan Sweeney joining us in a couple of months' time, the new CEO of that business. But look, there's a fairly heavy investment program going on. When we bought the business, clearly, it was very much a niche deal of the day-type e-commerce retailer with one-day -- one fulfillment capability out of Melbourne and an emerging marketplace capability.  So the investment that's going on is investing in the technology, the distribution center, as I mentioned, we've just opened a new DC in Moorebank. The DC investment is not just to support Catch, but also to support, for example, Kmart e-commerce fulfillment. We see some very logical synergies around centralized e-commerce fulfillment that Catch can participate in, a lot of investment in talent and capability there.  So the bridge to profitability, it will need to improve over time. It will improve as we continue to improve our delivery promise to customers as we grow the GTV and as we get better on the first-party business. And I called out that -- I'll let Nicole talk to some of the initiatives that we're focused on. But look, we always knew when we bought this business that it would require a lot of investment to realize the opportunity that we see. One miss through the year was the performance of the first-party retail business. But we're learning a lot about how to do that better.  And really, it's about evolving what was initially very much off-price, highly discounted parallel import-type deal-of-the-day proposition to a more customer-centric strategic first-party proposition. But I might just let Nicole talk about some of the shorter-term initiatives, and then we can have a more detailed discussion at the half year once Brendan is on board.
Nicole Sheffield : Yeah. Thanks, Rob. Yes, look, it definitely is a process of investment at the moment for Catch. But we've certainly made massive progress. I mean in the last couple of years, we've doubled the number of SKUs. We've also doubled revenue, and that's put a lot of pressure on the systems. So we've had to invest in those systems. I think there are certainly some number of success stories in Catch, and that mainly comes down to the marketplace, which has grown significantly and increased the number of SKUs. In terms of first party, whilst it's not where we'd like it to be, we actually have done a range review and spend a lot of time understanding, and with some help with OneData actually, working closely to understand what is working and what is the right category strategy, and how does 1P and 3P the marketplace and first-party inventory work together to own those categories. And that framework that we've built, we're now rolling across other categories. And we're going to see over the next, I guess, three months a lot of progress. So there's the marketplace. There's obviously the 1P program, but there's also the fulfillment, and Rob touched on that and the work we've done with Moorebank. Fulfilled By Catch is a really important part of our strategy. Kmart has just joined the trial a few weeks ago, and early signs are very positive. And if we can grow the fulfillment side of our business, it has a double benefit. The benefit is for Wesfarmers divisions, but also for customers because we can speed up delivery, and that's essential in e-commerce. So the growth of delivery is a key focus for us.  And we tend to -- we want to improve that significantly even before peak this year. So look, they're the key programs of work, I think, at the moment that we're working on, but we're very confident in the future of Catch.
Rob Scott : Yeah. The final point just on the first party because we obviously called out first party as something that didn't work as we'd like this year. But as you'd imagine, it's a very different proposition around the deal the day very tactical niche opportunities to more systemic targeted initiatives. And one of the success stories this year was that the Catch team did a fantastic job with a much greater focus on the pet category.  So being really targeted and focused on understanding what customers want, leveraging our customer data assets and our marketplace and our first-party product relationships to deliver a really strong proposition in the pet market led to incredibly strong growth, well in excess of market growth, clearly off a low base, but that's given us a lot more confidence on how to be more strategic about the first-party products.  And Nicole and the Catch team are taking those learnings and building them into the plans for the year ahead.
Grant Saligari : Okay. Thank you. 
Operator: Thank you. Next question comes from Phil Kimber from E&P Capital. Please go ahead.
Phil Kimber : Hi, Rob. Just a question on lithium and it's two parts. The first one is just with the -- I assume the mine and concentrator comes onstream before the refinery. So I just wanted to know whether -- given where current prices are, whether given any consideration that you may sell spodumene in FY '24 rather than waiting until the refinery comes online. And then the second part of the question was just sort of longer term under Kipman, I think they'd assumed 85% spodumene went to the refinery and 15% be sold to external parties. I just wanted to know whether you guys had a different view on that and maybe more goes to the refinery than goes to external parties over the longer term. Just wondering if you could comment on those two?
Rob Scott : I'll get Ian Hansen to answer that. Look, the good news is that our joint venture partner, SQM, and ourselves are both very commercially focused. So with these types of opportunities, if there's an opportunity to make some money and improve the returns, we're both very motivated to make that happen. But I'll let Ian talk to more to that question in more detail.
Ian Hansen : Yeah. Hi, Phil. in terms of the timing of the mining concentrate, you're correct. We are forecasting that will come online later in '23 compared to the refinery in late '24 or second half '24. So there will be a period of time where the concentrator will be producing spodumene and the refinery won't need as a feedstock. So we're currently in discussions with our joint venture partner about selling some of that spodumene in the interim and taking advantage of the earlier cash flows we might be able to obtain as a result of the good pricing in the market that we're seeing at the moment. In terms of the longer term, at the moment, we've sized the concentrator output to meet the input requirements for the refinery. So the volume coming out of the concentrator is designed to feed the refinery, which will produce 50,000 tonnes per annum of lithium hydroxide. That's on a 100% basis that is for both joint ventures. But both SQM and Wesfarmers are focused on extracting as much NPV from the orebody as possible, as Rob alluded to. And with a 50-year mine life, that indicates it will be economic to increase capacity and potentially shorten this life.  So we're currently scoping an expansion of the project, which at this stage would involve increasing the mining capacity and also the concentrator with a view to potentially sell that concentrate in the first instance and then assess refinery expansion further down the track. And we should have something a bit more definitive on that in the near future.
Phil Kimber : Can I just set those years where calendar years you were talking to, later '23 and later '24, not --?
Ian Hansen : Yeah, that's correct, Phil. So the concentrate should be online later in calendar year '23. So that will be FY '24, first half FY '24. And the refinery remains scheduled as per our FID announcement to come online in second half calendar year '24. So first half FY '25.
Phil Kimber : Thank you. 
Operator: Thank you. There are no further questions at this time.
Rob Scott : Okay. Thanks very much, everyone. I appreciate your time. If any other questions, please give Simon and the team a call. And all the best for the weekend. Thank you.